Katsuya Yamamoto: My name is Yamamoto. Thank you for your participation. Allow me to present the financial highlights. In our financial results for the first quarter of fiscal year 2025, our company achieved record revenue and a year-on-year increase in business profit. These results met our performance forecast for the current fiscal year on the whole. Turning to the full year forecast for fiscal year 2025. We have kept the forecast unchanged from the previous announcement. Despite including the direct impact of recent U.S. tariffs in the forecast, we adjusted the exchange rate assumption to a weaker yen, explaining our decision to keep the forecast unchanged. This concludes the summary. I will provide more details beginning on Page 5. Orders received in the first quarter of fiscal year 2025 amounted to JPY 446.3 billion. Revenue amounted to JPY 488.4 billion. Business profit was JPY 20.5 billion. Quarterly profit before tax was JPY 16.8 billion. And quarterly profit attributable to owners of the parent was JPY 4.2 billion. Despite the year-on-year increase in business profit, there was a decrease in quarterly profit before tax and net profit. The main reasons for this included a contraction of foreign exchange gains resulting from the appreciation of the yen. I will explain this in more detail on a later slide. As you can see, the weighted average exchange rates were approximately JPY 9.5 stronger than in the previous year, and U.S. dollar-based transactions amounted to approximately $0.52 billion. Please see Page 6. This chart provides a breakdown of orders received, revenue and business profit for each segment. As Point 1 shows, for Rolling Stock, earnings increased because of an improvement in profitability as well as a recovery from the temporary decline in earnings due to a revision in the indirect cost allocation rate in the same period of the previous fiscal year. In contrast, Point 2 explains that business profit decreased in Aerospace Systems because of declining profitability resulting from a temporary decline in revenue in the Aerospace business at the beginning of this period and increased shipments of newly manufactured commercial aircraft engines. Page 7 shows the statement of profit and loss. Please see the chart for details. Please see Page 8. Please refer to Point 2. Despite the year-on-year decrease in quarterly profit before tax due to the use of a simplified tax calculation method, income tax expenses are at a similar level to the same period last year and the tax burden ratio was at the high level of 56%. However, the ratio is expected to converge towards the effective tax rate over the full fiscal year and the full year performance forecast has not been affected. Turning to Point 3, there was a year-on-year increase in quarterly profit attributable to noncontrolling interests. This was the result of 20% of the shares of Kawasaki Motors Limited, a business subsidiary in Powersports and Engine being transferred to ITOCHU Corporation on April 1, 2025. Consequently, quarterly profit attributable to owners of parent decreased by JPY 11.1 billion to JPY 4.2 billion. This is Page 9. Next, I will explain the factors behind changes in business profit. The appreciation of the yen against the U.S. dollar compared to last year's exchange rate was a factor contributing to a deterioration of JPY 3.2 billion in effects of FX rates. Regarding change in revenue, an improvement of JPY 11.2 billion was recorded. This was the result of Powersports and Engine increasing sharply as it recovered from the recall in the previous fiscal year as well as increased revenue in other business. Despite improvements in the Rolling Stock, Energy Solution and Marine Engineering and Precision Machinery and Robot segments, there was an improvement of just JPY 1.0 billion in change in product mix and other factors due to declines in the Powersports, Engine and Aerospace Systems segments. Please refer to Page 10 for a detailed breakdown by segment. Page 11 shows the statement of financial position. Please refer to the provided materials for details on the factors contributing to changes in assets in the first quarter. Please see Page 12. Regarding factors that led to changes in liabilities and net assets, there was a decrease in interest-bearing debt at the end of the first quarter, which was a change from the previous trend. As explained under Point 3, this was the result of 20% of the shares of Kawasaki Motors Limited being sold to ITOCHU Corporation with part of the proceeds of JPY 80.0 billion used to repay interest-bearing debt. Partly as a result of these measures, the net debt-to-equity ratio was 78.7%, which was a similar level to the end of the previous fiscal year. Page 13 shows the cash flow statement. As explained under Point 1, despite progress in recovering trade receivables in the Aerospace and Plant businesses, a loss of JPY 7.7 billion was recorded in cash flows from operating activities. When combined with the losses and cash flows from investing activities, there was a loss of JPY 45.8 billion in free cash flows, which was a deterioration of JPY 43.3 billion year-on-year. Please see Page 14. For reference, we have provided a chart showing the cash flow trends over the past 10 years. This is Page 16. This shows the forecast for fiscal year 2025. As I explained at the start, the forecast reflects both the impact of U.S. tariff policy as well as the exchange rate assumptions for the purposes of the forecast, which have been revised from JPY 140 to the dollar in the previous announcement to JPY 145 to the dollar this time and JPY 155 to the euro in the previous announcement to JPY 165 to the euro this time. Accordingly, the full year forecast remains unchanged from the previous announcement. This is Page 17. The slide shows the factors affecting business profit since the previous announcement. Factors behind the decline include an impact from cost increase due to U.S. tariff policy as well as an impact from decreased sales resulting from weaker consumer sentiment, particularly in the Powersports and Engine segment. However, there are also factors contributing to increase such as the improvements that resulted from the revised exchange rate assumptions and tariff cost pass-through in addition to improvements achieved through a close inspection of performance in segments other than Powersports and Engine, resulting in an unchanged picture overall. Please turn to Page 18. The forecast breakdown by segment is shown in this chart. Detailed explanations will be provided on the individual segment pages. Page 21 is about Aerospace Systems. This slide shows the results for the first quarter of fiscal year 2025. Orders received increased year-on-year due to an increase in Ministry of Defense business and commercial aircraft engines. However, revenue and business profit both dropped for reasons such as decreased revenue in Boeing business and increased fixed costs. Turning to the forecast for fiscal year 2025. The forecast for orders received has been revised upward by JPY 50.0 billion compared with the previously announced forecast for reasons such as an increase in Ministry of Defense business. Revenue is expected to remain the same, but the forecast for business profit has been revised upward by JPY 8.0 billion for reasons such as changes in the exchange rate assumptions and effective control of fixed costs. This is Page 22. For your reference, Page 22 provides the results of orders received and revenue in the Aerospace and Aero Engine businesses, including the number of aircraft component parts sold to Boeing and the number of aircraft engine component parts sold. This is Page 23. This page shows the quarterly trends in revenue and business profit. Also provided for your reference, it gives an overview of past trends. This is Page 24. This page outlines the current state of the business environment and order trends in the segment. It also presents the specific efforts we are taking to achieve the forecast. There has been a positive shift in the commercial aircraft business since the previous announcement and demand is thought to have increased for both aircraft and engines. Page 25 is about Rolling Stock. This slide shows the results for the first quarter of fiscal year 2025. There was an improvement in business profit, which increased JPY 5.1 billion year-on-year. However, this was the result of a recovery from the same period in the previous fiscal year when a concentration of temporary expenses from a revision in the indirect cost allocation rate was recorded and also the result of revenue from several profitable domestic projects being recorded in the current quarter. Turning to the fiscal year 2025 forecast. Orders received and revenue have been unchanged from the previous announcement. However, business profit has been revised upward by JPY 1.0 billion as a result of improved profitability for reasons such as effective control of fixed costs. This is Page 26. This page shows orders received and revenue in Japan, Asia and North America. For your reference, it also shows revenue in after-sales service, which we have focused on as a profitable business undertaking and the progress of the R211 project for the New York City Transit Authority in the U.S. For your reference, Page 27 shows quarterly trends in revenue and business profit. This is Page 28. It provides details of the business environment and order trends as well as specific efforts, and there have been no changes from the previous announcement. Page 29 is about Energy Solution and Marine Engineering. This slide shows the results in the first quarter of fiscal 2025. Orders received fell in reaction to the large orders received in the same quarter of the previous fiscal year. However, revenue and business profit were both up against the backdrop of a strong business environment. Looking at the forecast for fiscal year 2025, the forecast for orders received has been revised upward by JPY 10.0 billion from the previous announcement due to an increase in power generation facilities orders. The forecast for revenue has also been revised upward by JPY 10.0 billion due to demand from the Ministry of Defense. The business profit forecast has also been revised upward by JPY 7.0 billion due to improved profitability of individual projects and effective control of fixed costs in addition to the increase in profit resulting from increased revenue. This is Page 30. This page provides a breakdown of orders received and revenue for the Energy System and Plant Engineering business and the Ship and Offshore Structure business. This is Page 31. This page shows quarterly trends in revenue and business profit for your reference. This is Page 32. Looking at specific efforts as part of the products and services that contribute to realizing a low carbon or decarbonized society as a core pillar of this segment, this slide shows an order we received for 2 gas engines with hydrogen co-firing retrofit capability. Moreover, in May this year, we commenced construction of the world's first commercial scale liquefied hydrogen base. Our company will work to promote the realization of a decarbonized society through measures such as these, which we have included here for your reference. Page 33 is about Precision Machinery and Robot. This slide shows the results in the first quarter of fiscal year 2025. Year-on-year increases were recorded for orders received, revenue and business profit. Concerning the forecast for fiscal year 2025, both orders received and revenue have each been revised upward by JPY 10.0 billion from the previously announced forecast due to increases in hydraulic machinery in the Chinese construction machinery market. Business profit has also been revised upward by JPY 1.0 billion due to higher revenue. This is Page 34. This page shows orders received and revenue for both the Precision Machinery business and the Robot business. Revenue from hydraulic machinery to the Chinese market and the breakdown of robot-related revenue by field are also provided for your reference. This is Page 35. This page shows quarterly trends in revenue and business profit for your reference. This is Page 36. Concerning the business environment, details of the recovery in demand in the construction machinery markets in China and in Europe are shown for your reference. Page 37 is about Powersports and Engine. This slide shows the results in the first quarter of fiscal year 2025. An increase was recorded for revenue as a result of higher shipments of 4-wheelers for North America. However, business profit decreased due to the impact of a year-on-year appreciation of the yen as well as higher fixed costs associated with increased production investment. Concerning the forecast for fiscal year 2025, both revenue and business profit have been revised downward compared with the previously announced forecast due to tariff costs brought by U.S. tariff policy and weakening demand in U.S. Powersports. However, we will work hard to realize further increases in revenue. This is Page 38. Page 38 shows revenue from motorcycles for developed countries, motorcycles for emerging markets, 4-wheelers and PWC and general-purpose engines. We have also included regional wholesale volumes for motorcycles, 4-wheelers and PWC. Regarding planned wholesale volumes for fiscal year 2025, motorcycles for developed countries have been revised downward from the previous announcement by 20,000 vehicles to 230,000 vehicles, and 4-wheelers and PWCs have been revised downward by 20,000 vehicles to 80,000 vehicles. This is Page 39. This page shows quarterly trends in revenue and business profit for your reference. This is Page 40. Page 40 describes the business environment and the specific efforts in the Powersports and Engine business. Although the motorcycle and off-road 4-wheeler markets in the U.S. remain sluggish, we have maintained or even expanded our strong market share. Regarding off-road 4-wheelers, this page refers to the release of Kawasaki's first turbocharged model, the Teryx4 H2. This is Page 42. As explained in the previous announcement, the annual dividend per share will be JPY 150. This is Page 43. Here, I would like to report on 3 project topics. Firstly, please allow me to explain the liquefied hydrogen supply chain business, which our company is tackling as a core next-generation business. We are currently receiving subsidies under the NEDO Green Innovation Fund projects and working to demonstrate the commercial potential for liquefied hydrogen supply chains. In May 2025, we commenced construction of the world's first commercial scale liquefied hydrogen base in partnership with Taisei Corporation and Toa Corporation. Moreover, to prepare for liquefied hydrogen shipping demand after completion of the commercial demonstration, our company has launched a joint study with Imabari Shipbuilding Company Limited and Japan Marine United Corporation in order to establish a construction system for subsequent liquefied hydrogen carriers designed and built by Kawasaki. In this way, our company is making steady efforts to promote business alongside numerous partners toward realization of a hydrogen society. This is Page 44. The slide explains the progress that has been made in the business of a robotic-assisted surgery system, hinotori, which our company is promoting in partnership with Sysmex Corporation and our associate, Medicaroid Corporation. As the slide shows, there has been steady growth in the business with over 11,000 cumulative cases already performed and 90 units installed so far. We expect Medicaroid Corporation to become profitable in the current fiscal year and to start making a large contribution to business profit from the next fiscal year onwards. Moreover, in June 2025, under the direction of Mr. Jacques Marescaux, a global authority who performed the world's first robotic- assisted surgery, a demonstration of remote surgery was successfully performed between France and Japan for the first time. This surgery made use of a high-speed and stable network infrastructure spanning 23,000 kilometers, stretching across the Atlantic Ocean from Europe and passing through the continent of North America before crossing the Pacific Ocean. It was performed with help from NTT Communications and was the world's longest ever remote surgery. Our company will continue to focus efforts on promoting the medical robotics business in order to realize a safe and secure remote society. This is Page 45. Lastly, please allow me to explain the MINATOMAÉ Project, an aquaculture project that was recently announced by our company. Why would Kawasaki Heavy Industries, which is a heavy industry manufacturer, get involved in an aquaculture project? I'm sure many of you are asking this question. Under our group vision, we are aiming to become a company that facilitates the provision of solutions to social problems. Food security has come to be seen as a pressing challenge in recent years, and this was the starting point for our involvement in this aquaculture business. Our company has responded to this social issue by using our expertise in water treatment, which we cultivated through plant development and fluid control, which we cultivated through ship and railway car development to achieve stocking density approximately 4x higher than conventional sea surface aquaculture. We believe that using this system will enable aquaculture in coastal and port areas previously unsuitable for fish farming, thereby making a large contribution to Japan's food security. Please refer to the supplementary information provided from Page 46 onwards. This concludes the presentation. Thank you for your attention. [Statements in English on this transcript were spoken by an interpreter present on the live call.]